Operator: Good day, ladies and gentlemen, and welcome to the Novavax Third Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, today’s program is being recorded. I would now like to introduce your host for today’s program, Andrea Flynn, Senior Manager, Investor Relations. Please go ahead.
Andrea Flynn: Thank you, operator. Good morning. This is Andrea Flynn, Senior Manager of Investor Relations at Novavax. I would like to thank everyone for joining today’s call to discuss our third quarter 2015 financial results. A press release and earnings is currently available on our website at novavax.com and an audio archive of this conference call will be available on our website later today. Joining me on today’s call is Novavax’s President and CEO, Stan Erck; together with our Senior Vice President of Research and Development, Dr. Greg Glenn, and Chief Financial Officer, Buck Phillips. Before we begin our prepared remarks, I need to remind you that we will be making forward-looking statements during this teleconference that could include financial, clinical or commercial projections. Statements relating to future financial or business performance, conditions or strategies and other financial and business-related matters, including expectations regarding revenue, operating expenses, cash usage and clinical developments and anticipated milestones are forward-looking statements within the meaning of the Private Securities Litigation Reform Act. Novavax cautions that these forward-looking statements are subject to numerous assumptions, risks, and uncertainties, which change over time. I will now turn the call over to Stan.
Stan Erck: Thanks Andrea and good morning, everyone. I expected our call this morning will take a bit longer than our usual quarterly calls I hope you don’t mind. But we are very pleased to discuss the most eventful period in the history of Novavax. During the third quarter, we delivered positive results from five of our key clinical programs, including our RSV F vaccine for older adults, protection of infants by maternal immunization and for pediatrics as well as our seasonal influenza vaccine and Ebola GP vaccine. We also announced earlier this morning that we have initiated a pivotal Phase 3 trial of our RSV F vaccine in older adults. This represents the company’s first Phase 3 trial that is expected to result data roughly a year from now that would be used to file our BLA. Furthermore, with the success of our clinical and product development efforts with RSV in the older adult population, along with our discussions with the FDA and the RSV older adult in the Phase 2 meeting, we believe we will achieve our goal of initiating Phase 3 trial of our RSV F vaccine to protect infants via maternal immunization in the first quarter of 2016. Importantly, our balance sheet remains strong providing us with the capital necessary to aggressively advance our programs to the market maintaining our substantial lead over other competitive efforts. A little over a month ago, we hosted our third Annual Analyst and Investor Meeting, where we received our, where we reviewed our programs in detail. So, for this call, I’ll ask Greg to provide a quick review of our programs, although for obvious reasons, he’ll be talking a bit about this landmark Phase 3 event. Then, Buck will provide an overview of third quarter financial results and finally I will wrap up and then open the line for questions. With that agenda, let me hand the call over to Greg.
Greg Glenn: Thanks, Stan. Good morning everyone. Thank you for your interest in Novavax. I’ll begin the call this morning with today’s announcement regarding our RSV vaccine program. As Stan mentioned, we are very pleased to announce we have initiated our Phase 3 trial to older adults as we have indicated that we would. We’ve been able to reach this seminal point due to dedication and hard work of our superb team in Novavax through high quality and frequent advice of number of experts in the fields of genetics half the time, and timely in constructive review of our program by the FDA. The trial, known as Resolve is a randomized, observer-blinded, placebo-controlled trials, and this line can grow approximately 11,850 subjects adults 60 years of age and older at 60 sites in the U.S. The primary efficacy objective of the trial is preventing the moderate to severe RSV associated lower respiratory tract disease as defined by the presence of multiple lower respiratory tract symptoms and signs. The secondary objective is the prevention of all acute symptomatic RSV respiratory disease. The trial has been designed based on the Phase 2 results discussed last quarter, in which we were able to describe the RSV attack rate, of vaccine effect with case definitions. As a reminder, the net Phase 2 trial, we followed 1,600 subjects with active surveillance for the 2014/15 U.S. RSV season. We found an overall 4.9% RSV attack rate with elders among which 1.8% had moderate to severe cases as mentioned by multi-symptomatic lower respiratory tract disease. We observed a 64% efficacy against moderate to severe disease associated with lower respiratory tract disease in post ad-hoc analysis. We observed a 44% vaccine effect against overall RSV patients. [Indiscernible] Phase 2 trial was provided to the FDA for review, and subsequently we agreed with the FDA during the end of Phase 2 process to include the prevention of moderate to severe RSV disease as a primary efficacy objective in the prevention of all RSV disease as a secondary objective. This study is well powered with greater than 90% power for the primary objective and 85% power for secondary objective. We expect to reproduce the efficacy data seen in the Phase 2 trial for both our primary and secondary objectives as methods and analysis we use proved to be effective to support this product. As noted above, we have agreed with the recognition provided by the FDA and consulted with a number of key opinion leaders to design the Resolve trial, and to align with and build with all the strength of our previous clinical results. We are confident that we would be able to conclude these rounds at the beginning of the RSV season and expect to report top-line results in the second half of 2016. These pivotal data along with previous extensive clinical trial data package will provide the basis of our BLA that we plan to file in 2017. As a reminder, RSV effects - it affects over 2.5 million older adults ever year in the United States along, with an estimated annual economic growth in excess of $24 billion. The CDC reports, every year the disease causes 177,000 hospitalizations and 14,000 deaths among adults older than 65. Annually, there are approximately 900,000 medical interventions that is directly caused by RSV disease. I would like to remind you that our current objective directly addresses the greatest economic burden of RSV Gs disease for RSV’s population which will appeal for the payer community. Inevitably [ph] this is related to RSV vaccines older adults we recently initiated a Phase 2 rollover clinical trial of our RSV vaccine these older results [ph]. The trial is randomized, observer-blinded, placebo-controlled rollover design, to designed to enroll the same 1,600 adults 60 years of age and older who participated in the prior Phase 2 trial last year. Participants previously randomized received 135 micrograms of the RSV vaccine or placebo are being re-enrolled and re-randomized in the current trial to receive either the vaccine or placebo. Analysis of four study arms will include participants who receive the vaccine in both the first and second trial, participants receiving a placebo in the first trial and vaccine in second trial, participants receiving the vaccine in first trial placebo on the second trial and participants received placebo in the first trial and the second trials. Primary end-points of the trial will evaluate the safety and serum anti-F IgG antibody concentrations in response to the immunization with the RSV F vaccine. Secondary endpoints will examine palivizumab-competing antibody concentration and neutralizing antibody to at least one RSV/A and one RSV/B strain. We also observed the vaccine effect in anti-exploratory analysis. The results for this trial are expected in the second half of 2016. We expect the data from this trial will be welcomed by the payer community as we see the recommendation by annual seasonal vaccine in older adults. Moving now to RSV program for infants by current immunization, we previously announced positive top-line data from the Phase 2 clinical trial in this population by September. As a reminder, the purpose of the Phase 2 trial was to evaluate the safety and immunogenicity of the RSV F vaccine in healthy pregnant women. The trial also accessed the transit sole transfer of maternal antibodies induced by the vaccine, the impact of maternal immunization of infant safety during the first year life. And the RSV specific antibody levels in the infant for six months of life. Significant SPJ [ph] and micro utilized [ph] antibodies are induced in mothers, and efficient antibody transfer from mothers to infants was observed. Interim analysis indicated the [indiscernible] of approximately 41 days in the infants with potential for protection beyond three months. In addition to these Phase 2 clinical results and our maternal immunization program, I want to highlight another additional - other, additional recent events. As whole dataset from the Phase 2 clinical trial of the RSV F vaccine in women of elder age was recently published with the journal of infectious disease. And in that there is the indication of the vaccine decreased infection rates in this population. A second article about the vaccine is shown to be immunogenic and reduce efficient of hand-body transfer in a guinea pig model for immunization was published in vaccine. We plan to initiate a Phase 3 trial for our maternal immunization program in early 2016. During the quarter, as significant event associated with the maternal immunization program was been award of a grant of up to $89 million by the Bill & Melinda Gates Foundation to support development of the RSV F vaccine in the Phase 3 clinical trial type window. This grant will also support regulatory licensing efforts including additional health provided a pathway to the WHO pre-qualification for this program. Upon license, now the vaccine has agreed to make the RSV F vaccine affordable and accessible for people in the developing world. Finally, moving to our RSV F pediatrics program, during the quarter we announced positive top-line data from the Phase 1 clinical trial of our vaccine in healthy children. The trial was randomized, observer-blinded Phase 1 trial to evaluate the safety and immunogenicity of RSV F vaccine in infant in that population with one or two doses with [indiscernible] and it’s population were healthy, zero positive in pediatric participants 2 to 6 years of age. We found that all the RSV F vaccine formulations and regimens were well tolerated, highly immunogenic. We’re assessing this data and evaluating the next steps to developing of our RSV F vaccine for pediatrics. After we have initiated our, first two Phase 3 at RSV programs, we intend to work on our RSV pediatric clinical development plan and hope to discuss that with you in early 2016. Now, moving to our seasonal influenza program, during the quarter we also reported positive results in the Phase 2 clinical trial, and our quadrivalent seasonal influenza vaccine. As a reminder, this trial is being conducted and the company’s contract with our partner BARDA. This safety trial was a randomized, observer-blinded, dose ranging trial designed to evaluate the safety and immunogenicity of our quadrivalent seasonal vaccine for under adults. The trial demonstrated quadrivalent seasonal vaccine seems well tolerated with no vaccine related serious adverse events. The trial also met its immunogenicity targets and demonstrated potential for making procedures [indiscernible]. Our vaccine tend illicit increases in HDI [ph] tighter in all four viral strains estimate, in particular for the two viral strains for which we saw improvement in the new formulation we showed a robust HDI tighter approximately 50% greater tighter than those in our prior Phase 2 trial. We also measured limiting antibody responses against seasonal influenza viruses for the first time and we feel to detect significant antibody responses on all four strains based on new innovation, including antibodies. We are continuing a complete review of these data with our partner BARDA, who is determining a path forward for both pandemic and seasonal influenza programs. We expect to continue discussions with BARDA into 2016 and to present plans for continued clinical and product development in early 2016. Finally, for our Ebola vaccine program, during the quarter, we announced positive data from the Phase 1 clinical trial of our Ebola virus glycoprotein micelle nanoparticle vaccine. That was adjuvant with Matrix-M. The data was presented as part of the WHO World Health Organization Test Teleconference of Ebola Vaccine clinical trials. Overall, they have demonstrated better Ebola GP vaccine is highly immunogenic, well tolerated and a conjunction with our proprietary Matrix-M regimen resulting in significant antigen dose variance. Combined with the data from our three positive challenges that is [indiscernible], they have confidence that our Ebola GP vaccine could be protective in humans. In addition, the vaccine is highly immunogenic at low doses which will allow for dose pairing. And finally, we’re working on plans for conducting a clinical trial due to combination of respiratory vaccine that would provide multiple strains of our seasonal flu vaccine with our RSV vaccine. The details and timing of this trial will also be announced earlier next year. With that overview of our key programs, I’ll now turn the call over to Buck. Thank you very much.
Buck Phillips: Thank you, Greg, and good morning everyone. Today we announced the financial results for the third quarter and nine months ended September 30, 2015. Summary of financial tables can be found in today’s earnings press release. For the third quarter of 2015, we recorded a net loss of $33.1 million or $0.12 per share. This compares to a net loss of $19.7 million or $0.08 per share in the prior year period. The increase in net loss in the third quarter is primarily the result of increased R&D expenses related to the clinical trials of our RSV F vaccine candidate, and higher employee related costs relative to the same period last year. Revenues for the quarter were $6.5 million compared to $8.2 million for the same period in 2014. This decrease in revenue in the third quarter of 2015 is the results of a lower level of development activities under the HSS BARDA contract as compared to the same period in 2014. For the third quarter of 2015, cost of government contracts revenue decreased 32% to $2.7 million compared to $4 million in the same period of 2014. Consistent with my prior statement on revenue variance, the decrease in cost of government contracts revenue was associated with a lower level of development activities under the HHS BARDA contract in the third quarter of 2015 as compared to the same period in 2014. R&D expenses increased 45% to $27.9 million in the quarter compared to $19.2 million in the same period in 2014. The growth in R&D expenses was primarily due to increased activities related to our ongoing and our planned RSV vaccine clinical trials along with higher employee-related expenses, which includes an increase in non-cash stock compensation expense. G&A expenses increased to $9.1 million in the quarter compared to $4.8 million in the same period in 2014. This increase is primarily due to higher employee-related expenses which included increase in non-cash stock compensation expense as well as growth in pre-commercialization expenses. Increases in employee related expenses, across both for G&A and R&D, are primarily driven by growth in headcount as the company evolves to meet its later stage development and pre-commercialization obligations. As of September 30, 2015, the company has $290.2 million in cash, cash equivalents, and investments on the balance sheet. This concludes my financial review. I’ll now turn the call over to Stan.
Stan Erck: Thanks Buck. We’re incredibly pleased to have initiated our Phase 3 trial on older adults today and to review the clinical results we delivered in this third quarter. Initiating this Phase 3 clinical trial and all the results is a significant achievement that creates value for our shareholders and also advances our RSV vaccine towards approval with a potential to have a significant impact on human health. The Resolve trial takes one step closer to bringing the support of vaccine to nice and clear years ahead of other RSV vaccines and all their efforts. We’ll wrap up there and open it up to Q&A. Operator, Q&A please.
Operator: [Operator Instructions]. Our first question comes from the line of Cory Kasimov from JPMorgan. Your question please.
Unidentified Analyst: Hi, good morning guys. This is Martin [ph] on for Cory. And thanks for taking my questions. I just kind of want to start off with the Phase 3 study design and just wanted to get more clarification on the primary end-point. So, what exactly qualifies as an event for this end-point and how many symptoms the patients need to have to qualify? And how does that compare to the secondary end-points reported in the Phase 2? And I have a follow-up.
Greg Glenn: Yes, hi, Cory, Greg here, Martin sorry. So, the definition as you know is multi-symptomatic to our respiratory tract disease. These are patient reported symptoms in science. Patient reported symptoms for lower respiratory tract illness include cough, speed of reduction, wheezing and shortness of breath and/or Orthopnea. So, these patients have to have three or more of those symptoms to reach the case that we should, obviously are to be positive by PCR. And that’s pretty much in line with what we, that’s in line with what we observed in the Phase 2 trial. The inclusion of all causes is to include symptoms we described in the Phase 2 trial or upper respiratory disease includes nasal congestion and respiratory infections. And Orthopnea is should add, Orthopnea is defined as 21 breaths per minute. So, what happens I would say, patient calls for, [indiscernible] active impassive surveillance patient calls, they are either able to come in or if they are unable to come in then they have to study the risks, as visit them they go through the CRF questionnaire which is just stated as interim there swapped, provided also taken that’s all inhibited and sort of starters.
Unidentified Analyst: Okay, great. Thanks. And then just my follow-up is, what kind of led to the decision to increase the expected enrollment number? Can you give us more detail as far as the lower bout of the confidence interval for the primary as well?
Greg Glenn: Sure. This as we analyze the data, the data provided by the FDA, they rationalization both on the ordering and rationalization on the end-points we described and the lower bout of confidence intervals. So, for the primary it’s 30%, throughout the 30, more about the confidence interval 30%. And for the secondary it’s 25%. So, we power these studies based on those numbers to have primary objective well and that is of 90%. And the secondary objective to be powered at 85%, that’s we think are very, very conservative numbers.
Stan Erck: Yes Martin, this is Stan. I just pointed out that we had previously estimated we’ll be on the 8,000 to 10,000 rate we went to 11,000 more as an insurance policy because we wanted to nail the achievement of our primary end-point and learn. As to Greg said, we are well in excess of 90% which if we have a season that has fewer attack rate or lower attack rate we’re going to be in good shape.
Unidentified Analyst: Okay, great. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Bill Tanner from Guggenheim Securities. Your question please.
Bill Tanner: Thanks for taking the questions. Greg, on the 60 sites or maybe just describing the patients and these are going to be community living patients I’m assuming or?
Greg Glenn: Yes, they are ambulatory generally, we carry them. So they can be both community as well they can be in care centers, they have to be ambulatory and able to either come in. So they’re generally functional, except these are not nursing high-care patients.
Bill Tanner: Okay. And then, just to be clear, the treatment effect that you would need to see would be as it relates to the primary and the secondary?
Greg Glenn: Well, because it’s well powered, it’s powered on 64% to test of efficacy that’s because the power is in excess and the lower value of comps defined there is 30%. So, we have this well powered treatment effect that’s why we have to be 64%, highly powered study.
Bill Tanner: Okay, okay, all right. Thanks very much.
Operator: Thank you. Our next question comes from the line of Joel Beatty from Citi. Your question please.
Joel Beatty: Hi, good morning. Thanks for taking the questions. The first one is just on the status of enrollment in the trial. Do you have all the sites on board and have you began enrolling patients?
Greg Glenn: Yes. Both the answers are very short ones, yes, yes.
Joel Beatty: Okay, great. So, I guess another question and what the FDA, where you’re tucked in might be looking for. Do you expect that the vaccine would be approved if the trial just hits the primary end-point or do you expect you also need to hit the secondary end-point?
Greg Glenn: That’s a good question. We would be approved based on success in the first. It would be within our view augmented with success in the second. But obviously the first end-point is providing the economic cost burden and it impairs with the very keenly supportive of this. The FDA also did know this is more severe and more significant burden of disease it fits in moderate to severe agreements. So, but to answer your question mechanically, the end-points are analyzed in a higher fashion so the primary stands alone, and it’s positive. The alpha error can be brought into the second analysis and if the second analysis is positive these would then be considered for the indication. We do believe in a review sending that if, one were to miss the lower bout of confidence interval that can be still discussed potentially accepted by the FDA. So, there is a fair amount of I think potential for success in both of the areas.
Joel Beatty: Okay. And then, finally, I noticed that the press release describes the trial is observer-blind and doesn’t use the terminology double-blind. Could you confirm whether or not the patients will know whether they’ve received RSV vaccine or placebo?
Greg Glenn: Yes, they would not know.
Joel Beatty: Okay, great. Thanks for taking the questions.
Operator: Thank you. Our next question comes from the line of Heather Behanna from Wedbush Securities. Your question please.
Heather Behanna: Hi guys, congrats on the progress and thanks for taking my question, just a quick question about the RSV rate in general. I know that it’s been pretty consistent from year-to-year. But if you could give us a little bit more color on sort of the sub-group that you’re targeting as far as moderate to severe RSV? And what factors we might want to look for to see, does it correlate with a higher flu or we see more severe cases and the things to look forward is? Give us some confidence in the numbers on the attack rate for your primary end-point?
Greg Glenn: So, in our trial the attack rate was 1.8% for the moderate to severe. The attack rates were all RSV was 4.9%. We during the running of Phase 2 trial, we get to practice on some of the logistics. We determine that to be our surveillance could be improved especially by those who call but could not come into the clinic. And we would expect to through these modifications of our trial conduct to increase the attack rate simply by catching all the cases that are there. We have built into the as Stan mentioned, we have an insurance policy based on the powering studies, we could withstand a very significant variation in RSV season. However, it’s our view that the RSV is relatively consistent in this range. So, we’re both prepared by the end, the powering of the study the clinical trial interventions for surveillance. And the back team effect frankly, I think we can whether - we’ve powered this study very conservatively for success.
Heather Behanna: Great. Thanks for the color.
Operator: Thank you. Our next question comes from the line of Ed Tenthoff from Piper Jaffray. Your question please.
Ed Tenthoff: Great. Thank you very much. And thanks for the update. Any comments first with respect to the number of patients in the elderly study, is this more than we were initially anticipating?
Greg Glenn: Yes. We were looking at 8,000 to 10,000 through our discussion with the FDA in terms of the end-points that this approach we have powered it up. And so, it would be restate what I already said, this has allowed us to be sure we meet our end-point, very robust as far as power in primary over 90%, and 85% of the secondary.
Ed Tenthoff: Okay, great. So, it’s really more an instrument of increasing the power around the change primary?
Greg Glenn: That’s right. Well, and that’s correct.
Stan Erck: Well, and Ed, this is Stan.
Ed Tenthoff: Hi, Stan.
Stan Erck: Good, how are you? So, when I said we want to be well over 90% power and we said one of the incident one of the attack rate is 1.5% or 1.2% and we want it to be a one-season trial. And so we said it’s worth the investment as insurance to make sure we’re in there, almost any considerable season.
Ed Tenthoff: Okay, awesome, makes a lot of sense. Thanks so much.
Operator: Thank you. Our next question comes from the line of Kevin DeGeeter from Ladenburg Thalmann. Your question please.
Jake Colby: Hi, this is Jake Colby on for Kevin this morning. Thank you for taking my questions. Sorry if I missed this in your prepared remarks earlier, but do you have a status update on the pentavalent program and your timeline for moving that into clinical development?
Stan Erck: Yes, so, this is Stan. And so it was sort of lost with all of the other data that we’ve been putting out. But at the end I think Greg mentioned we are putting together plans so that we can run a pentavalent combination vaccine on the second half of next year. We think that’s a very important trial. It’s not in the same critical pathway as license is, getting your feedbacks being approved first. So, we’ve been able to put that after the second half of next year. So, we’re working on it.
Jake Colby: Okay. And then one quick follow-up. Do you believe that one formulation would work for both the elderly and new-born populations or would they require different formulation?
Greg Glenn: Yes, they’re both in development program we determine based on the target profile what was appropriate dose and formulation for each population. And so they’re different.
Jake Colby: Okay, thanks.
Stan Erck: And just to follow that up, so we’ve got two different products, one for the elderly and 135 microgram dose unadjuvanted. For the maternal we have 120 micrograms with an element adjuvant. And we have yet to determine what the final formulation or the final dosage would be for pediatrics. We’ve got some very positive data from a small trial this year and we’re going to work on once we get both of these Phase 3 trials kicked off by the beginning of the year, then we’ll put together a clinical development plan for pediatrics. And the first trial will be designed to determine whether we have a formulation, what formulation will be with adjuvant or non-adjuvant and what the dose level would be. So, that’s the next trial.
Jake Colby: Okay, thank you.
Operator: Thank you. Our next question comes from the line of George Zavoico from JonesTrading. Your question please.
George Zavoico: Hi, good morning everyone, and thanks for the update, and congratulations on starting the Phase 3 elderly. One of the criteria for the Phase 3 for the elderly, is it going to be that they’re going to be required to get a seasonal flu vaccine as well? And is there indication that if the elderly don’t have a seasonal flu they might have a more, a different kind of RSV response or is it totally unrelated?
Greg Glenn: So, that’s a good question. So, we of course, we either - they have either had a pre-seating flu vaccine when they’re enrolled and that’s there is a timeframe in which that’s eligible or at the same time, the same visit we offer them a flu vaccine. So we do stratify that. And we are looking and you may recall, we have provided today that surely that there is no interference with the influence in Response. So that’s something we have to study and look - take a look at. We’re not expecting a significant interaction between that and the RSV vaccine, because obviously these are both seasonal flu vaccines and it’ll be oddly convenient to provide the vaccines at the same time or without interference at patients’ convenience. Right now, having flu vaccine in separate arms when they ask for it at the visit, but we have I think I believe a 30 to 45 day window. So we’re starting, so it’s a fairly narrow window and we’re starting now. So, a certain number, of population will already have a flu vaccine and they will offer to those who have not.
George Zavoico: If there is a bigger flu season and perhaps then you strain, they may not be well covered by the seasonal flu vaccine. How are you adjusting for any complications that that might occur because of that?
Greg Glenn: Well, we don’t, there is a fair amount of FDA logic evidence that there isn’t a lot of interaction between flu and RSV itself. So, for example, we saw very few color effects in our first trial. So it can affect the timing of the actual cases to some degree but the way the trial is starting, we stay on that time period as well. So I don’t anticipate that they’re good or bad flu season will necessarily have any effect on the trial. As Stan mentioned, we’ve tried to power this study so that we have some variation in the attack rate, we would be helpful there. We have attempted and we have setup in place, of a little bit better system for catering subjects who need solving the new home limits. So, we’ve invested a fair amount of estimation, we capture everything. In my view, we’ll capture more than we did in the past season because our system is all more robust here.
George Zavoico: And of course you’re going to be, when someone comes out of the system of course you have everything in place to determine that this is impact our severe enough flu, I mean?
Greg Glenn: Right, that’s right. That’s correct. That will be evident since it’s blinded it’ll be evident once we’re unwind. But the PCR multiplex I think there is 20 plus pathogens, higher pathogens that we protect. And we didn’t take flu in the last trial. So and as I mentioned we did not see most in the way of co-infections including flu.
George Zavoico: Okay. And then, couple of quick questions on immunization, the maternal sorry. For the maternal immunization early 2016, that’s after the RSV season. So is that likely to start in the southern hemisphere?
Greg Glenn: Yes. That’s, you picked that timing right. So right now that’s our general plan.
George Zavoico: Okay.
Greg Glenn: And we will have gone through with FDA in Phase 2 meeting. So there is less as you know since this is a two to four year global plan, there is a little less urgency to click the study off in robust way as you list.
George Zavoico: Okay. And doing the same question for the quarter variance, you’re going to get guidance in the early part of next year. So, I’m presuming you’re going to try and kick off the Phase 3 for the ‘16/’17 season?
Stan Erck: So, George, we just have to wait and see. We’ve - that program has done well, BARDA really likes the data that they saw in the 206 trial that we advanced. But we’ve made some pretty significant advances in the process along the way and the product. So, we’re just having a good thorough analysis of the past forward, I just can’t announce anything until we finish our planning process with BARDA and that will probably come sometime around the first of the year. We’ll let you know.
George Zavoico: Okay, great. Thank you very much.
Greg Glenn: Thank you.
Operator: Thank you. Your next question is a follow-up from the line of Bill Tanner from Guggenheim.
Bill Tanner: Thanks for taking the follow-up. Stan, just a question on, and I apologize maybe little bit unfair to ask but the older RSV, you mentioned, you guys mentioned top-line data second half of next year, BLA filing in 2017. What’s the chances of and obviously a lot of it’s up to when the data comes in and you can file the FDA. But what do you think the probability as of the chances or how do you think about perhaps having that vaccine ready for the 2017 RSV season?
Stan Erck: Yes, well that would be on a spectrum of possible outcomes, possible. But I wouldn’t project that right now. I think so, we’re going to end, season is going to end the same time the last trial did which is in April/May. And we just have five times the amount of data that we’re going to be crunching and going through. So I think we announced this one on August 10 or somewhere thereabout. You got to give us a little extra time to go through the data and make sure we’ve got it. So, we’re going to be announcing that data in the fall some time. And we’ll be, you can imagine that that’s our trial for error, you can put to BLA together the both the clinical and CMC package. And we’ll be encouraging the FDA to review as quickly as possible. But, so I think it’s more likely it would be proved sometime in early 2018 or late 2017 but we’ll see.
Bill Tanner: Okay, great. Thanks very much.
Operator: Thank you. [Operator Instructions]. And this does conclude the question-and-answer session of today’s program. I’d like to hand the program back to Stan Erck, CEO for any further remarks.
Stan Erck: Thanks. So, this is it. We’ve become a Phase 3 company now. And we’re moving on all cylinders. So we look forward to talking to you at various meetings and reporting back in the next quarter. Thank you.